Operator: Good day, and thank you for standing by. Welcome to DIRTT's 2025 Q4 Financial Results Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Adrian Zarate, Chief Transformation Officer. Please go ahead.
Adrian Zarate: Thank you, operator, and good morning, everyone. Welcome to today's call to discuss DIRTT's Fourth Quarter 2025 Results. Joining me on the call today will be Benjamin Urban, CEO; and Fareeha Khan, CFO. Today's call will include forward-looking statements within the meaning of applicable Canadian and United States securities laws. These statements are based on the company's current intent, expectations and projections. They are not guarantees of future performance. In addition, this call will reference non-GAAP results, excluding special items. Please reference our Form 10-K as filed on February 25, 2026 with the Securities and Exchange Commission, or SEC, and other reports and filings with the SEC for information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. I will also remind you that this webcast is being recorded, and a replay will be available early next week. I will now turn the call over to Benjamin.
Benjamin Urban: Thank you, Adrian, and good morning, everyone. As noted in our outlook, Q4 reflected a return to normal theme in terms of sales and earnings power or adjusted EBITDA. Our transformation initiatives continue to gain traction, and we believe they will drive a structural improvement in our long-term revenue and earnings capacity. I will expound upon this later in the call, but first, we'll ask Fareeha to walk us through our Q4 financial results and next 12 months or fiscal year '26 guidance.
Fareeha Khan: Thank you, Benjamin, and good morning, all. Please note that we have issued a press release discussing our fourth quarter 2025 results and fiscal year 2026 guidance. We have also provided additional analysis in a supplemental presentation. Both documents are available on our website. Revenues for the fourth quarter were $50.9 million, an increase of 4% compared to the same period in 2024. Gross profit margin increased from 35.9% of revenue in the fourth quarter of 2024 to 36.6% of revenue in the fourth quarter of 2025. And sequentially compared to Q3 2025 grew from 30.4% to 36.6% due to the realization of tariff mitigation synergies. Operating expenses for the fourth quarter, excluding reorganization costs, stock-based compensation, impairment charges, legal provision and other nonrecurring operating expenses were $14.1 million, consistent with the same quarter last year. Increases in professional fees and operating support expenses offset lower general and administrative and technology and development expenses. Our net loss after tax for the fourth quarter of 2025 was $3.7 million compared to net income after tax of $4 million for the same period of 2024. Net loss after tax was primarily impacted by $7.6 million of increased general and administrative reorganization expenses and impairment charges as well as a $0.9 million noncash gain on the disposal of the Rock Hill facility lease and a $0.3 million foreign exchange loss due to the strengthening of the Canadian dollar relative to the U.S. dollar. Adjusted EBITDA for the fourth quarter of 2025 was $6.2 million, an increase of $0.7 million from $5.5 million during the fourth quarter of 2024. With respect to our balance sheet, the quarter finished with $20.3 million in unrestricted cash, a decrease of $5.8 million from September 30, 2025. Cash used in operations was $4.3 million, while cash used in investing activities was $1.2 million. Cash used in financing activities was $0.3 million and primarily consisted of repayment of long-term debt, employee tax payments related to vested RSUs and common share repurchases under the company's normal course issuer bid. Our working capital continues to improve with DIO decreasing from 61.4 days to 53.7 days and trailing 3-month average cash conversion cycle stepping down to 47.2 days from 49 days in September 2025. Liquidity was $32.1 million as of December 31, 2025, including $11.8 million of availability under our ABL credit facility. We have not drawn on this facility to date. This quarter, we had minimal activity in our debentures NCIB and shares NCIB program, but we repaid our January debentures with balance sheet cash in January 2026. Additionally, in the fourth quarter of 2025, we executed a letter of offer with BDC for up to CAD 15 million of total funds, of which the first tranche of CAD 5.5 million was received earlier this month. Looking forward to 2026, we are encouraged by the anticipated conversion of our pipeline into revenue. For fiscal year 2026, we are expecting revenue between $194 million and $209 million and adjusted EBITDA between $26 million and $31 million. Our guidance range reflects our current assessment of tariff impacts. Guidance does not reflect the potential impact of unforeseen tariffs or trade policy changes. We will update guidance if and when the impact becomes quantifiable.
Benjamin Urban: Thank you, Fareeha. While 2025 presented a myriad of macroeconomic challenges, we transcended adversity and advanced strategic priorities via our transformation efforts. In fact, we are coming off our highest revenue grossing month in 2 years, culminating in $50.9 million of revenue and $6.2 million of adjusted EBITDA for the fourth quarter compared to guidance of $48 million to $52 million of revenue and $5 million to $7 million of adjusted EBITDA. We believe recent commercial wins, the scaling of our new distribution channel, and optimized partner network and our new operating model collectively provide proof of concept for substantially improved revenue growth and earnings quality. Regarding commercial, we recently announced another project with a 10-year-plus legacy client, Google, for their Toronto office, in addition to a major new contract with U-Haul. These engagements reflect the caliber of repeat and new enterprise relationships we continue to prioritize and expand. As for distribution channels, we have evolved how we pursue and deliver projects. Last year, we established a team called Integrated Solutions to explore expanded revenue opportunities. During Q3, we formalized this team as DIRTT Construction Services to better reflect their full scope and capabilities. They provide preconstruction, design build assistance, targeted estimating, self-perform installation and more, elevating DIRTT from manufacturing to a multi-trade prefabricated interior construction company. Construction services complements our existing partner distribution channel by allowing us to: one, provide more technical capabilities to help select partners bid and win larger projects; two, help fill gaps a partner may have on their team; and three, pursue projects in markets without partner coverage in sectors that require specific expertise or for our existing national account strategy. We have also optimized our partner network to support future growth through greater stratification and targeted resource allocation. We remain committed to this channel strategy and have identified our highest potential partners and increased our investments in those relationships to drive pipeline expansion and improved conversion to revenue. As part of our transformation, we introduced a new operating model focused on process standardization and operational discipline. This approach is intended to reduce complexity and unlock capacity across the enterprise. Collectively, these actions are designed to expand our addressable market, augment operating leverage and support structurally higher earnings power. With respect to the Falkbuilt litigation, the 8-week trial covering multiple allegations began on February 2, 2026, and remains underway. DIRTT is pursuing damages it suffered in Canada, the United States and abroad. In closing, I would like to thank our entire DIRTT team for their dedication to continuous improvement and transformation, which requires reimagining how we do business and innovating to be steps ahead of the market and competition. This takes a highly strategic collaborative process, and our team has risen to the challenge. Thank you for joining us today. I will now open the call to questions.
Operator: At this time, we will conduct a question and answer session. CEO, Benjamin Urban; CFO, Fareeha Khan; and Chief Transformation Officer, Adrian Zarate, are available for Q&A. [Operator Instructions]. I'm showing no questions at this time. I would now like to turn it back to Benjamin Urban for closing remarks.
Benjamin Urban: I have no further closing remarks. Thank you, everyone, for joining us today.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.